Operator: Good day. And welcome to the EFSC Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Jim Lally, President and CEO. Please go ahead.
Jim Lally: Well, thank you, Shelby, and good morning. And welcome to our Fourth Quarter Earnings Call. I appreciate all of you taking time to listen in. Joining me this morning is Keene Turner, our company’s Chief Financial Officer and Chief Operating Officer; Scott Goodman, President of Enterprises Bank & Trust; and Doug Bauche, Chief Credit Officer.
Scott Goodman: Thank you, Jim. Good morning, everybody. Loans at year end are highlighted on slide number five and totaled $7.2 billion, representing a 36% increase from the prior year. Growth of $1.1 billion in the quarter is most heavily impacted by the addition of the Seacoast book, combined with a reduction of $206 million in PPP balances and organic growth of $81 million.
Doug Bauche: Yeah. Thanks, Scott. I’m pleased to review Q4 and fiscal year end 2020 asset quality, as we finished the year with some very strong credit results. Net recoveries of $612,000 in the fourth quarter, resulted in total net charge-offs just 3 basis points or $1.9 million for the fiscal year 2020. Total classified increased by $39 million from the prior quarter to $124 million, largely due to the downgrade of two hospitality loans in the legacy Enterprise portfolio and the addition of $29 million in classified loans acquired via Seacoast. As a percentage of capital, however, classified loan levels remained relatively stable at approximately 10% for both the current and prior quarter. Non-performing assets declined to 0.45% of total assets from 0.53% the prior quarter and 30-day delinquencies were well-managed at $12.5 million or 17 basis points of total loans. Turning your attention to slide 11, loan deferral activity has continued to decline as anticipated. Loans remaining and deferral status at year end declined to $63 million or 1% of total loans, excluding PPP, compared to $139 million or 3% the prior quarter. 86% of the remaining deferrals are scheduled to expire by the end of Q1 ‘21. You’ll see on slide 12 the allowance coverage for the broader portfolios of C&I, CRE, construction and resi real estate. While credit metrics remain favorable, our total allowance for credit losses increased 11% from the prior quarter to $137 million at year end. The reserve now provides a 355% coverage of non-performing loans, 2.31% of total loans excluding PPP and SBA 7(a) guaranteed portions and 1.89% of all loan exposure. Provisioning of $9.4 million in the fourth quarter was largely related to the day one CECL reserve on the acquired Seacoast non-PCD portfolio. And with that, I’ll turn it over to Keene Turner.
Keene Turner: Thanks, Doug, and good morning. My comments begin on slide 13 and we’ll address the full year 2020. We reported net income of $74.4 million or $2.76 per share. Our successful execution on PPP and our diversified fee income sources were differentiators that helped us to offset low interest rates, as well as the income trends from COVID-related restrictions and behaviors. We increase our pre-provision net revenue by 15% in 2020 to $162 million or 1.96% of average assets. We ended the year on a high note closing the acquisition of Seacoast, while also increasing net income during each quarter of 2020.
Operator: Thank you.  We’ll take our first question from Michael Schiavone with KBW.
Michael Schiavone: Hi. Good morning.
Jim Lally: Good morning, Michael.
Michael Schiavone: So, my first question, you guys saw some pretty good organic commercial growth in the quarter. Can you just talk about the state of those pipelines in the overall loan growth expectations for 2021?
Scott Goodman: Yeah. Hi, Michael. This is Scott. I can kind of handle that. I think, to reinforce what I said, I’ve focused a lot on gross production, particularly over the last few quarters, because I think a lot of the headwinds are external, and obviously, there’s a lot of that, that looks like there’s light at the end of the tunnel there. So, the specialty businesses have been pretty steady producers throughout the year. Life insurance had its typical four quarter uptick. We saw volumes elevated with sponsor finance, which we didn’t necessarily see last fourth quarter, but now see it. And then in the markets, I think, it’s -- the production is steadily ramping up. We’re seeing things like M&A activity recapitalizations. I think we had two of our long-term clients’ do ESOPs in the quarter, which it’s becoming more popular form of succession and then steady investor CRE volumes. So I feel good about continuing the level of production that we’ve seen looking forward and pipelines are pretty consistent with that right now.
Michael Schiavone: Great. Thanks. And can guys also just talk about what you’re expecting for fee growth in 2021 and where do you think the biggest opportunities are here especially as it relates to cross-selling to Seacoast and PPP clients?
Keene Turner: Yeah. Maybe we’ll team up on.
Scott Goodman: I can talk to.
Keene Turner: Go ahead on cross-sell Scott and then I can provide a little bit of higher level guidance if you’d like.
Scott Goodman: Yeah. Great. That’s what I was going to say. Yeah. So we and I think we’ve talked about this, we focused on PPP as an opportunity to originate new relationships from the 700 plus new businesses. But also cross-selling into existing relationships, as we really set up a lot of those conversations on walking them through the PPP and forgiveness process, and we’ve got a pretty robust sales force dashboard and process -- sales process activity that we monitor. And I think, the opportunities, there are businesses like treasury management, which we continue to invest in and I think continues to be a growth area for us. Cards, I think, we look at well how businesses are using cards for payment services, correlates well with some of our treasury management products. That’s an area we’re focusing on. And then, I think, we’re always looking to sell into the families and business owners of the companies that we serve. So, private banking and wealth I think is another area that we’ll continue to focus on.
Keene Turner: Yeah. And Michael, this is Keene. I would say we normally, we expect the banking related service charges to basically be mid single-digit growers, kind of that’s the, I would say, that’s across the Board. Expectation, I think, the wild card that you have is, what are the headwinds that relates to potential or additional shutdowns or measures in market and some of these are just behavior driven, the credit card business, for example. We’re starting to see some positive improvement there. But we have some muted volumes, because businesses aren’t travelling and spending as much. So those are difficult to predict, but I think, we expect some more resumption, particularly in the back half of 2021. And then, I think, for our drivers of those line items, I think, it’s more of the same. I think we expect basically tax credit to be another 10% grower. And I think there are some opportunities throughout 2021 to have some more success with our CDE, similar to what you saw in the fourth quarter. But that’s a little bit of a tough one to predict. We think it’s coming, but the timing of that could be a little bit uncertain. But to me, I think, those are the places where you can see some outsize strength will say in terms of driving the fee income line item.
Michael Schiavone: Great. Thanks for taking my questions.
Keene Turner: Thank you.
Operator: We’ll take our next question from Jeff Rulis with D.A. Davidson.
Jeff Rulis: Thanks. Good morning.
Jim Lally: Good morning, Jeff.
Jeff Rulis: Maybe a question for, Doug, just trying to given in some of the noise with the deal. I am interested in the credit migration and the legacy portfolio, kind of what’s maybe coming in or out. So that’s kind of I guess 1A and then 1B just the -- if you could the type of what you have brought on from Seacoast on the non-accrual front? Thanks.
Doug Bauche: Yeah. Jeff, good morning. I think maybe just in reverse order, what we brought on from Seacoast in terms of non-accrual, non-performing loans was about $6 million. It’s only about $1 million or $1.5 million of that in unguaranteed portions. Seacoast has very little if any loans and deferrals, largely SBA lending their borrowers have benefited from the stimulus payments that the government’s making on all SBA loans. And certainly there is another round here will further benefit from those payment activities. In the legacy portfolio, it’s remained really quite stable in terms of classified assets. We saw very little change. We’ve successfully worked through a number of credits. We did downgrade Jeff, any remaining lodging or hospitality loans that received a second deferral, we downgraded in the fourth quarter. And we continued kind of to allocate reserves to that COVID impacted portfolio. But as we sit today, I think, we feel that our reserves are well positioned and strong. So, hopefully, that provided color to your question.
Jeff Rulis: No. I appreciate it. Thanks Doug. And then just a fine tuning on Seacoast impact on a couple fronts, the margin, can you appreciate the number you called out on contribution or improvement and then the guidance. But more interested in just how Seacoast change the sensitivity of the combined franchise, understanding there’s still some kind of liquidity that maybe a move around, but just in general, maybe day one, how did that affect sensitivity?
Jim Lally: Yeah. Jeff, I would say, we didn’t see a big movement in the assets sensitivity. I think up 100 basis points, we’re still 2% asset sensitive. I think to the extent that rates rise more dramatically than that, I think, that’s where the assets sensitivity maybe pop maybe 1.5% to 2% in those plus 2 and plus 3 scenarios. Unfortunately, I don’t think those are likely and so we’ll just kind of continue to monitor the balance sheet and see what’s there. But also to your point, that asset sensitivity is going to be reflective of $0.5 billion of cash on the end of the balance sheet at the end of the year as well, so both of those are factual. But I think, number one, lower more stable cost of funds on a combined basis and I think when you look at what we’ve done with now Trinity, Seacoast, the funding base is, I think, materially different than it was four years or five years ago, and then I think we feel like the Seacoast SBA engine, particularly now during more challenging economic times will provide a nice addition for some predictable growth for 2021 and beyond. So we’re excited about that.
Jeff Rulis: Got it. And then the other Seacoast related, was on the expenses, you talked about $52 million in the first quarter run rate and then the step down? The conversion for Seacoast I forget when that was set?
Jim Lally: Yeah. We’re converting core, call it, core banking systems mid-first quarter, but there’ll be some other conversions that have already taken place and some that are following. So I think of most conversion being completed as of the end of the first quarter. So I’m not sure if you’re going to get a fully clean second quarter, but certainly by the third quarter, we expect the synergies to be out of it and the 25% cost save assumption to be there.
Jeff Rulis: Okay. So that was the $2 million step down depending on timing of…
Jim Lally: Yeah.
Jeff Rulis: …it’s fully clean in the second quarter?
Jim Lally: Yeah. It is really $3 million of synergies and then, as you know, I think, our first quarter is usually a little bit heavy with payroll taxes. We expect that to kind of level out in the second quarter and then you get some normal additions will say for growth and adds the staff and continued lending. So my 52 sort of blended a little bit of investment in the business in there. But I think of kind of core Enterprise’s of $40 million, $41 million and then the Seacoast is 12 pre-synergies and nine post-synergy.
Jeff Rulis: Very clear. Thank you.
Operator: We’ll take our next question from Andrew Liesch with Piper Sandler.
Andrew Liesch: Hi, everyone. Good morning. Just want to question on loan yields. References are that they are holding up well here, I guess, 3 basis point decline one quarter, like you said. The improvement in the yield curve helps at all or do you just expect any improvement that could occur just basically be competed away, just given the liquidity in the system?
Keene Turner: Yeah. I would say, Andrew, I don’t think that we’re expecting positive news either in the investment portfolio or the loan yield. I think we’re working pretty hard to stay level. But I think the trends have been stable for a few quarters. And I think we feel good that if we can get some net production and we can get some -- we continue to essentially get our relationship based pricing that we should be able to kind of hang in there with yields. But, yeah, I don’t think we’re expecting any yield curve improvement in the fee information that I provided on margin guidance.
Andrew Liesch: Got it. And just hearing some optimism around loan growth, which may be core loan growth, which maybe you didn’t really have a couple of quarters ago, you referenced, maybe around mid-single digits. When do you think we could see and maybe it’s too premature to discuss it now, but an improvement just in the earning asset mix and just see margin expansion that way? I recognize that you’re focusing on NII dollars rather than margin, but just trying to figure out the trajectory here?
Scott Goodman: Yeah. Look, I think, the big question comes down from my perspective, how much more does another round of PPP pressure line of credit usage and things like that? I mean, I think, we’re down on the slide that we have, line usage is down 8 percentage points from a year ago. And so, normally, we’re sweating over a couple basis points of line usage that could mute or to make a quarter look robust from a growth perspective. So I think it’s a tough question. But I think what you heard from, Scott, is that, he is focused on gross production and I think that bodes well. And I think that we’re optimistic that at least in some combination of bringing Seacoast on a little bit of momentum in the base Enterprise pipeline and business development that’s not completely washed away by line usage and things like that pay down that we’ll get a little bit of that in 2021. But it’s hard for me to say, you’re going to see that in the second quarter or the third quarter. I think a lot depends on, what happens over the next few months in the economy and getting people kind of back and operating in a more normal fashion.
Jim Lally: And Andrew, this is Jim. I would add to that, this whole balance between growth and yield or interchange -- or intertwined. And we’ve worked hard culturally, not to have to do the last deal in the market to get the growth. And as soon as you waver from that, it’s a slippery slope. And I credit Scott and Doug, for the discipline that the teams have. And the fact that what we’ve also do, we built this diversified engine. So we don’t have to lean into any one class and we can uphold our pricing and what have you and still get the growth that’s acceptable. But it’s a really slippery slope that we have to be careful about during these times that will just take anything for growth or hold back and not get growth and it’s a day-to-day battle, which is exciting, frankly.
Andrew Liesch: Understood. Thank you for taking the questions. I’ll step back.
Operator: We’ll take our next question from David Long with Raymond James.
David Long: Good morning, everyone.
Jim Lally: Good morning, David.
David Long: As it relates to M&A, just could you talk maybe a little bit about the pipeline now, we’ve seen a few deals in the industry get announced and I think buyers are getting a little bit more comfortable with potential sellers, loan portfolios? Can you maybe talk about the pipeline and then any discussions you’ve had, how has the seller reception been and how have price expectations changed over the last few months?
Jim Lally: This is Jim. I have to say this so, we have a lot of great momentum in the business right now. And so number one, we have to make sure that any target or any discussions only adds to it and doesn’t become a distraction. And we don’t openly discuss our pipeline per se, just know that it’s a consistent process, conversations are ongoing, we don’t fall in love with anything. I think we just look for the right partners with the right business model can accelerate our long-term strategic plan.
David Long: Okay. Okay. And then -- and I don’t know separately from…
Keene Turner: David, I will add to this….
David Long: Go ahead.
Keene Turner: I think I’ll add to this, we’ve been very disciplined in pricing, right? So we -- and I think there is -- we look at it this way that we have to remain disciplined, but we’re also inviting a new set of shareholders into our vision as well, right? So if there is a great balance and our team does an exceptional job making sure we keep that balance.
David Long: Okay. And absent M&A, what can you do or how are you managing the asset level, so you don’t go over the $10 billion level in an inefficient manner?
Keene Turner: Yeah. What I would say is, as you saw us make that pivot away from wholesale funding at the end of the year that obviously that $200 million helped to stay, but look and also provides some earnings growth for ‘21 and ‘22, that we wouldn’t have otherwise had just eliminating that expense. But our view is this that, to the extent if there is the cash that’s on the balance sheet is not relationship money. We’re looking at those places. But we’re not going to push out good borrowing relationships to -- for the long-term detriment of the business, because we’re worried about tripping over $10 billion a little bit. We’ve got some time if we don’t do it via M&A that and so all of the impacts become affected. And I think, Jim indicated, we’re kind of always looking for M&A. So my expectation is that this next round of PPP is going to make it really difficult for us to limbo under $10 billion and I think that’s just sort of an industry issue. And we’re going to do our best just to earn through it to the extent possible.
David Long: Got it. I appreciate the color guys. Thank you.
Keene Turner: Thanks, David.
Operator:  We’ll take our next question from Brian Martin with Janney Montgomery.
Brian Martin: Hey. Good morning.
Jim Lally: Good morning, Brian.
Brian Martin: Hey, Keene, one follow-up on the last question that impact if you do cross $10 billion, do you have an indication of how much that is what that cost you?
Keene Turner: Yeah. It -- on the expense side it’s a couple million dollars and on the fee side, it’s a few million dollars. So you’re about $5 million pretax, it’s kind of the total impact once it phased in.
Brian Martin: Okay. And then just going back to your comments, can I miss some of what you said on the margin and just kind of the, I think, you talked about some hedges and some cash flow hedges and the impact to margin? Can you just run back through that if you could?
Keene Turner: Yeah. So, Brian, the easiest way to think about the impact at least in terms of dollars is, the charge that we took in the quarter being $3 million, quick and dirty, that comes back in essentially evenly as avoided interest expense in ‘21 and ‘22, because there were two years remaining on that. So $1.5 million on the total margin, so, you have 2 basis points, 3 basis points.
Brian Martin: Got you. Okay. All right. That’s helpful and the…
Keene Turner: But that will likely get soaked up by excess liquidity and you’ll never see it.
Brian Martin: Okay. Yeah. I was going to say and just the overall size of the balance sheet, you talked about the excess liquidity and kind of to your last point came about the how -- to the last question about managing to the $10 billion. How do you -- I guess, if you look at the balance sheet over the course of the year, what -- I guess, how do you expect it to unfold as far as with the PPP, and I guess, I don’t know the timing of what you guys are expecting? I think, you said, how much was going on month that the reduction, the PPP and just the overall size of the balance sheet as you go throughout the year?
Keene Turner: Well, so what we’re seeing right now is that we’re getting about $20 million a week of PPP forgiveness. But we have -- it’s not -- that doesn’t correspond to a reduction in the balance sheet. Those are typically customers and much of that is staying on the balance sheet and we saw that in 2020. So my expectation is that, whatever success we have with PPP, we did $800 plus million in the first round, and with Seacoast we had almost $900 million that we did. Even if you do half or two-thirds of that, you’re going to be $400 million or $500 million over $10 billion at that point in time and just with the trends that we saw in the first round, I just don’t expect that liquidity to move off the balance sheet anytime soon. So from my perspective, I think, we avoided going over at December 31, 2020. But I don’t know that there is an avenue for trying to move that kind of liquidity off the balance sheet to stay under and I don’t think that is going to be the right feeling from a customer perspective. So I think we’re going to have to -- PPP is going to provide nice income lift for us on another round and I think we’re just going to have to use that. And we’re ready in terms of our plan for crossing $10 billion from a people on a systems perspective and I think we just have to keep executing and try to grow the loan portfolio and try to potentially find another deal to help scale through that.
Brian Martin: Got you. Okay. That’s helpful. And just maybe the last two, which is, when you think about, I appreciate the comments on the outlook for the reserve and whatnot. But as you get beyond, if the economic conditions do improve and the credit quality continues to hold this, it sounds like it could. I mean, can you talk about where the post-COVID reserve level kind of where you think it trends to over time?
Keene Turner: Yeah. Brian, if -- on CECL adoption, we were at, let’s call it, anywhere between 115 basis points and 125 basis points of total loans and that was pre-COVID and today we’re 100 basis points north of that. I think, you’re going to -- the low watermark is probably that level of adoption and you’re probably going to have in my view some sort of additional permanent risk so to speak of an event like this occurring that or a worse economic environment that isn’t maybe necessarily forecasted, well, in advance, it just sort of hits abruptly. So I’m going to say it’s probably at the top of that range, but it’s not 230 basis points. So I think there is some room for relief there. I think also the ultimate resolution and loss rate on certain asset classes is to be determined. So we’ll have to take that into advisement as well. But assuming you go back and you have no losses, I think, you just -- you essentially end up unwinding much of what you did in 2020 or much of what we did in 2020.
Brian Martin: Okay. Is your expectation, I guess, it sounds like you kind of grow into that or there -- could there be actually releases in a given quarter?
Keene Turner: Yeah. Brian, I think, it’s really hard for me right now to envision doing anything quickly. I think…
Brian Martin: Yeah.
Keene Turner: … CECL to me suggests you build quickly, when you see the evidence, we did that. But I just think with how elongated the loss emergence period is, I think, it’s difficult to reduce in material chunks. So I think you’re going to end up with some sort of growing into it, so to speak, simply because you’re going to always be worried that maybe you didn’t fully incur losses or there is more impairment in certain asset classes that just is out there. Now, something swiftly or abruptly is done to allay those concerns then clearly we would need to evaluate that in terms of the reserve. But my view is that at least for the foreseeable future that, unless you get evidence one way or another, your actions are going to be less material when you are provisioning than more material.
Brian Martin: Yeah. Okay. Well, I appreciate you taking the questions. Thanks, guys.
Keene Turner: Thank you, Brian.
Operator: That concludes today’s question-and-answer session. At this time, I will turn the conference back to Jim Lally, President and CEO for any additional closing remarks.
Jim Lally: Thank you, Shelby. And thank you all again for joining us this morning and certainly for your interest in our company. We look forward to speaking with you again following the first quarter. Have a great day.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.